Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Lundin Mining Fourth Quarter Results Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker for today, Marie Inkster, President and CEO. Please go ahead.
Marie Inkster: Thank you, operator, and thank you everyone for joining Lundin Mining's quarter and full-year 2019 results call. I would like to draw your attention to the cautionary statements on Slide 2, as we will be making several forward-looking statements throughout the course of this presentation. On the call to assist me with the presentation and answering questions are Jinhee Magie, our Senior Vice President and Chief Financial Officer; and Peter Richardson, our Senior Vice President and Chief Operating Officer. 2019 was a successful year for Lundin Mining on several fronts. Operationally, our safety performance improved over 2018, as measured by the total injury frequency rate, which is why we remain in the top quartile of the western world miners. This was achieved while successfully integrating Chapada and managing a large increase in exposure hours as we progress projects at Candelaria, Eagle, and Neves-Corvo. Our asset base has grown to five operations, with a successful acquisition and integration of the Chapada copper gold mine in Brazil last year. We have had an excellent first six months with copper and gold production achieving guidance, and corporate cash costs better than expected. In fact, all operations achieved or exceeded the company's most recent annual metal production guide with cash costs in line or better than guidance at most operations. At Candelaria, we are beginning to see the benefits of the reinvestment initiatives in our operating and financial results. We began sourcing higher grade from phase 10 of the open pit in mid-2019, and mined first store from the Candelaria cell sector underground line and third quarter. The mill optimization project is also nearing completion, on track for later this quarter. We continue to make meaningful progress on ZEP at Neves-Corvo, both underground and on surface. The project is advancing for stage commissioning during the year, with phase ramp up to full production by the end of 2020. Eagle East achieved an important milestone with first ore extracted at the end of September and processed early in the fourth quarter. The team successfully achieved this ahead of budget and schedule. Finally, we remain focused on value creation through disciplined allocation of our shareholders' capital. While our focus and 2019 was actionable M&A and the eventual Chapada acquisition, we also executed on our normal course issuer bid, and we will look to continue opportunistically with this program throughout 2020. Additionally, we received $100 million from Freeport Cobalt, following the successful sale of the non-core Kokkola cobalt refinery and the associated cathode precursor business. With that, I will turn the call over to Jinhee to highlight the full-year 2019 financial results. Jinhee?
Jinhee Magie: Thank you, Marie. Looking at a summary of our results on Slide 5, our operations in aggregate produced over 433,000 tons of base sales in 2019. In addition, we produced 142,000 ounces of gold in 2019, an increase of 82% year-over-year, as a result of the acquisition and integration of Chapada mid-year. We sold over 291,000 tons of payable-based metal for the year, and generated revenues of approximately $1.9 billion. Fourth quarter revenue totaled $568 million, which includes modest provisional pricing adjustments for prior period sales of $9 million, or $0.01 per share. A detailed breakdown is included in our MD&A. For 2019, 66% of our revenues were generated from copper sales, marginally up from 64% in 2018. With the contribution of unencumbered gold production from Chapada and the increase in gold price, gold contributed 9% to our revenue, an increase of 4% than the prior year. Zinc, nickel, and lead contributed a combined 23% of total revenue, down from 29% the prior year, largely a result of the Chapada acquisition. We remain predominantly leveraged to copper, and well diversified geographically. Slide 6 presents a summary of the fourth quarter and full-year financial results, the details of both in our financial statements and MD&A issued last night. 2019 revenue was 10% higher than last year, mainly attributable to the acquisition of the Chapada mine. Gross profit was slightly higher, reflecting the Chapada acquisition, offset by higher depreciation, lower realized metal prices, and higher treatment and refining charges. You will note that we have introduced certain non-GAAP adjusted financial metrics. These measures are presented to provide additional information that we believe investors and other stakeholders use to assess the city's underlying financial performance. Attributable net earnings from operations were $0.23 per share for the year. Fourth quarter net earnings were positively impacted by higher gross profit and additional income to the equity investment in Freeport Cobalt, partially offset by higher income tax expense. Adjusted earnings were $0.22 per share for the year, and $0.13 per share for the fourth quarter. Details of the adjusted earnings are in our MD&A issued last night. We generated EBITDA of over $700 million in 2019. 2019 cash flow from operations were $565 million, and adjusted operating cash flow for changes and non-working capital was $551 million, but $0.75 cents per share. Fourth quarter capital expenditures on cash basis were $140 million, bringing the total for 2019 to $665 million, marginally below the most recent guidance of $695 million. We ended the year with $250 million in cash and cash equivalents, and $60 million in debt. This is an increase in the net debt position compared to the net cash position last year, mainly reflecting Chapada's net purchase price of $757 million funded from cash on hand and a draw down on the company's revolving credit facility. Our Board of Directors declared regular quarterly dividends at $0.03 Canadian per share, totaling $0.12 Canadian per share in 2019. Yesterday, our Board of Directors approved an increase in the next quarterly dividends to $0.04 Canadian per share, or $0.16 per share on an annualized basis, an increase of 33%. We remain in a strong financial position. I will now turn the call back to Marie to discuss operations and projects.
Marie Inkster: Thank you, Jinhee. Moving onto Slide 7, Candelaria had an excellent year. It remained our safest operation, achieving excellent safety performance as it continues. Importantly, we commenced mining and processing the higher grade ore from phase 10 of the open pet in mid-year, and made excellent progress advancing our reinvestment initiatives. Copper cash costs of $1.54 per pound of copper were better than annual guidance, and an 8% improvement over the prior year. Pre-production development of the Candelaria cell sector underground mine was successfully completed, and the project was transferred to operations ahead of schedule. Mine production from Candelaria's north and south sector underground mines ramped up to an average of 13,500 tons per day during the fourth quarter. Our targets are generally to produce up to 11,000 tons per day from the north sector and up to 4,000 times per day from the cell sector so that in aggregate, we will meet the permit limit of 14,000 tons per day from all mines. Our mines fleet reinvestment initiative is essentially complete. 83 of 85 pieces of equipment are delivered and available on site, with the remaining two pieces of ancillary equipment to be delivered in 2021 in 2022, respectively. The mill optimization project is progressing well. Installation continues to correspond with expected mill maintenance stops, as to minimize the disruption to our production. Overall, construction was approximately 83% complete at the end of the year. 2020 CapEx guidance for Candelaria was approximately $15 million to complete the mill optimization project. Candelaria is positioned to deliver over 30% production growth by 2021, with improving cash costs. Medium term annual production is forecast to average over 180,000 tons per annum over the next 10 years, including 190,000 pounds in the years 2022 through 2025. Moving onto Chapada on Slide 8, our results demonstrate that we have had a very successful first six months. The integration progressed better than expected, and we remain excited about the exploration and expansion opportunities. Copper production for the year exceeded diamonds, and gold production with in line with expectations. Copper cash costs were better than guidance with higher precious metal credits, lower operating costs, and favorable foreign exchange effects. In early October, we filed a technical report for Chapada to support the mineral reserve and resource estimates we announced in September, as well as make clear our near term operating capital expectation for the mine. We follow that up with a successful analyst site visit in early November.  Similar to the incremental and iterative improvements we've been able to achieve at candle area, we believe there are significant opportunities to create value at Chapada with aggressive copper flows focused exploration, leading to improve mine plans and production improvements. We are continuing to optimize the production schedule at the current and 24 million tons per annum throughput rate while evaluating options for mine and plant expansion as well as working on prioritizing exploration programs and understanding the potential for resource expansion. A significant increase in exploration efforts are underway, largely focused on near mind targets with results to be incorporated in any expansionary plans.  Operationally, Neves-Corvo had an excellent year achieving the most recent copper and big production guidance. 2019 saw record or hoisted record times processed in the zinc plant and the best copper recovery rate since 2015. Copper cash cost of the $59 for the year were in line with the most recent guidance. The zinc expansion project advance well during the quarter in accordance with the revised schedule and budget for the phase startup production during 2020. Total pre-production project cost estimates are unchanged from our last update, as is the 2020 guidance that was released with our operational outlook in late November. 2020 CapEx guidance includes $115 million to complete this zinc expansion project.  I'll now turn the call over to Peter to walk through the project progress in a little more detail. Peter?
Peter Richardson: Thanks, Marie. We continue to make good progress advancing the underground aspects of ZEP project since earlier in 2018. Slide 10 shows some of the progress achieved in the quarter. Material handling civil Works Progress well and are nearing completion. As seen in the photograph on the left, civil works and across the chamber is complete and mechanical installation of the jaw crusher and supporting equipment is nearing completion. In the middle photograph construction of transfer tower number three of the conveying system is nearing completion. The first phase of the hoist shaft upgrade was completed in December 2019 with installation of new higher capacity skips and roads. Not shown in these pictures installation of the 3.5 kilometer of underground Khomeini systems are well advanced and mine development of the lower self is continuing. Development of the first two sub level accesses are undergoing in the lower ore body.  On Slide 11 surface construction continue to advance during the quarter with work focused on mechanical electrical installations of the surface material handling system, installation of the SAG mill flotation circuits, tailings and water supply piping systems. The picture on the left shows the SAG mill including the grinding cyclone station.  Center photo so that their progress made with the flotation circuit piping installation and the photo on the right show the new thing concentrate filtration building overall that is advancing on track for commissioning to complete this year under a phased approach ramp up to full production by the end of 2020.  I will now turn it back to Marie to go through our remaining operations. Marie?
Marie Inkster: Thanks, Peter. On Slide 12 Eagle perform well in 2019. The mine achieve full year nickel and copper production guides. Production trended lower throughout here reflecting planned lower grades due to the mine sequencing ahead of Eagle East coming online. Cash costs for the year were higher than guidance primarily on lower sales volumes.  Development of Eagle East reached a significant milestone with first ore extracted at the end of September ahead of budget and schedule. First ore was successfully processed at the Humboldt mill on October 1. Mine development continued in the fourth quarter allowing for full access to higher grade ores in 2020. As a result 2020 nickel production is set to increase more than 3000 tons or 22% over 2019 a reduce cash costs as higher grade Eagle East ore contributes to the [indiscernible]. Eagle remains well positioned to generate significant free cash flow in the coming years.  And finally, adding proven on Slide 13, zinc and copper production achieved annual guidance ranges. The fourth quarter was the best quarter for production since 2018, second quarter. Zinc, lead and copper production were higher year on year in 2019 as a result of sustained improvement in metal recovery in zinc or head grades. Following the continuation of our focus planning and execution efforts to improve our dilution and ore losses. Production is expected to be consistent with prior years going forward. Exploration efforts continue to existing ore bodies as well as targeting Dalby and flax and deposits which remain high priorities, exploration drifting progress ahead of schedule. The Dhabi mining session was granted in July, and conceptual mine design work is ongoing. We have another active exploration program planned for 2020. Following a successful 2019, we saw at 60,000 meters drill, we expect to drill the same amount 60,000 meters as a given this year as part of our $15 million exploration program. On Slide 14, as previously mentioned, 2019 CapEx of $665 million on a cash basis was modestly below our most recent guidance of $695 million. The difference is due to slightly less funding at our European operations. The 2020 capital expenditures and excluding capitalized interest are unchanged from our previous guidance of $620 million. Our reinvestment initiatives at Candelaria are heading towards successful conclusion. The operation 2020 CapEx is to decrease compared to the two previous reinvestment years and be $265 million as our initiatives to increase value of the operation are completed. Expenditures at Eagle to bring Eagle East online are now fully behind us and we anticipate sustaining capital throughout the remainder of its life to be very low. Numbers for 2020 CapEx is estimated to total $230 million in 2020, of which $155 million is remaining pre-production capital for the zinc expansion. Planned exploration expenditures are expected to be $55 million in 2020, 10 million lower than our previous guidance. The majority of the decrease is due to a reduction in the planned activities on regional expiration stage projects in South America Turning to Slide 15, a familiar slide, from our current assets, we have an excellent growing production profile. We are guiding over 30% growth copper production from our current assets from 2019 to 2021. The growth is primarily attributed to realizing the benefits of the low risk investments we've been making at Candelaria over the past two years in addition to the Chapada acquisition. We saw improvement during the second half of 2019, and we expect to build on that momentum through 2020. A greater than 50% increase in total that production is forecast over the same period as the Zinc expansion at Neves-Corvo is commissioned this year and fully ramped up doubling zinc production from that asset. And lastly, nickel production's set to increase as a higher grade ores of equaliser brought online. Before opening the line for questions, I would like to reiterate that the investments we've made over the last two years has set the company up for multiple years of production growth, decreasing cash costs and free cash flow generation. We started to see the results of these efforts reflected in our operating financial results in the second half of 2019 and we expect to build on that momentum through 2020 as we complete and ramp up the zinc expansion. We look forward to updating you on our continuing efforts in coming month. And with that, operator, I would like to open the lines for questions.
Operator: Certainly. [Operator Instructions] Our first question this morning comes from Orest Wowkodaw from Scotiabank. Please go ahead.
Orest Wowkodaw: Hi, good morning. The performance that Chapada continues to outperform, I guess, expectations. I'm curious if you can give us an update on where your head's at with respect to the expansion at Chapada and whether we're leaning more likely to words slow-phased expansion or whether it'll be more of a larger one time expansion and timing on when you think you might be in a position to give us an update on that.
Marie Inkster: Good morning, Orest. Our thinking really hasn't changed on the expansion. I mean, we are studying the various scenarios. And right now we're in the study stage. So we haven't concluded on what exactly the optimal expansion will look like. And so, for the next 12 months, we're going to be drilling, drilling, drilling, to understand as much as we can about the ore body and in which ways is trending and at the same time advances studies. So, we'll probably be 12 to 18 months before we will have a definitive answer on where the optimal expansion will be.
Operator: Our next question comes from Ralph Profiti from Eight Capital. Please go ahead.
Ralph Profiti: Good morning. Thanks for taking my question. Marie, when I look at the cash cost guidance for 2020 at Chapada we're seeing $1.15 a pound. The technical report has gold coming down a little bit in 2020. Maybe that accounts for the large impact relative to where you came in at 2019. I'm just wondering, how's the gold reconciliation looking-- how does it look in 2019 on the gold side at Chapada? Also, does that lower gold production account for the rise in cash costs relative to 2019?
Marie Inkster: I don't think there's any magic in the gold. I think there's no big change in recovery rates or anything like that. It's according to the grades and the throughput in the plant. If you look at it might be related to the byproduct credit that we release gold at $13.50. This year, of course, for the 6 months that we own the operation, gold trended much above that $13.50. So that will have an impact. Also the currency, we use the reality at $3.75 in order to run our models for the costing, whereas this year, it's been over $4. So the currency has been in our favor as well. Peter, I don't know if you have anything to add on that.
Peter Richardson: No.
Ralph Profiti: Then you touched on the copper focused exploration at Chapada. Is this distinct from targets that are copper-gold focused? And is this Lundin being selective and could that change with either a more positive gold environment or just strategy on the exploration side?
Marie Inkster: We say copper-focused because there are some holes that we followed up on that hadn't been followed up on the past that had good copper-gold but didn't have that great of gold grades. So just changing the strategy a little in terms of prioritizing the copper. But also in terms of training, we really need to understand where the ore body is trending and when we're looking at where to move infrastructure and things like that. We're doing exploration aggressively. As with all of our sites, we do our cut-offs and look at the optimizing on an NSR basis. So we're agnostic as to whether it's copper-gold but we will be prioritizing copper in those holes that we follow up.
Ralph Profiti: Thanks very much.
Operator: Our next question comes from Jackie Poleski from VMO capital. Please go ahead.
Jackie Poleski: Thanks very much and congrats on a good quarter, guys. I have a couple of quick one's for you. First of all, in July I think it was on your Q2 earnings. You guys were talking about running an airborne geophysics survey area later last year. I was wondering if you guys could maybe give us an update if that started and how it's been going so far?
Marie Inkster: Yes, we did complete that. Peter, did you want to talk about it.
Peter Richardson: It's completed. So it's evaluated, we're being evaluated.
Marie Inkster: So we're generating targets and we'll fall on the map in this year's drilling program.
Jackie Poleski: Okay, so we won't hear anything more on that, it'll just flow into the drill program. Maybe just a follow up on his question about Chapada. You see one cost for 2019. You really exceeded the guidance and even your revised guidance. You guys did very, very well there. Is there a similar buffer or conservatism built into the 2020 guidance in your view? How are you guys seeing the performance there given how well you did in 2019?
Marie Inkster: Well, I think, Jackie, again, coming back to the assumptions that we use when we ran it, we put our assumptions there for everyone to run different ones, but the gold price running routes had a big impact on that and the byproduct credit. So when we run that at $13.50 gold, and then it's coming in at $15.50, that has a big difference on the cash costs. Similarly with the currency, if we're running in at $3.75, and we come in at what was it 24, 28, something like that, then that's going to have a considerable difference. So I think in terms of the operating productivity, the times and grades and things were fairly accurate on that. And where we were able to see the benefits there on the currency and the gold price, were the differences in our estimates. So, we try to be as accurate as we can with our estimates.
Jackie Przybylowski: That's helpful. Thanks very much.
Operator: Our next question comes from Jonas [ph] from Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi, good morning. A few questions from my side around the spending. The first in terms of again, Chapada. If I think about -- if I look at how much you're spending in exploration has improved versus Chapada, it's striking that you're not really willing to spend more than $10 million on the new asset, which seems to have a lot of growth optionality. Can you explain the logic there? And could we see potential for the spending later in the year?
Marie Inkster: The spending is quite different at the two locations. At Chapada, you're drilling from surfaces -- the drill holes are fairly shallow, going maybe 300 meters. Whereas at Zinkgruvan, your drilling is going down -- like one hole, you're going 1,500 meters. Also in the Zinkgruvan program, we'll have exploration drifting in there, which is quite a bit -- that's costly as well. So, the cost per meter is quite different when you're talking about this in another area exploration. And Chapada's cost per meter of drilling is the lowest in the company, and half of what it would be in Chile. So, even though we're spending more at Zinkgruvan, the meter edges pretty much the same. And if we can do more meaningful spend at Chapada, we will do that. I do note that that $10 million is the biggest exploration budget they've had in the history of the mine. So, it's not that we're not wanting to spend there. It's that we want to spend the dollars in a very methodical and thoughtful way in order to get the best results and really find out what we need to find out about the ore body. So, if we can spend more and get meaningful information, we'll do that. And we think that right now, it's a good program that the team has established there.
Unidentified Analyst: That's very clear. And follow-up around CapEx. So, you have a lot of growth coming online in the next two to three years. How should we think about sustaining CapEx level once you hit the full run rate, let's say by 2022 or so across all operations?
Marie Inkster: Yes, so in terms of the CapEx, when you look at the profile right now, you can take out the expansionary CapEx for the sink expansion would come off. I think Candelaria's CapEx this year is a fairly good number. It'll probably trend within plus or minus $50 million of what we have now. Chapada will have some expansionary scenarios that will change that profile quite considerably. But that -- we'll have to give the answers on that at a later time when we have more clarity. Eagle CapEx will be very low for the remaining mine life, so I don't anticipate that it would be much more -- probably less than it is this year. Neves-Corvo, we'll probably see an incremental '20, and '21, '22, maybe a little higher than current, and then it should come back down to say a $60 million to $70 million range, just because we'll be doing an additional development, post commissioning, post commercial startup of the [indiscernible] on the lower Lombador ore bodies. And then Zinkgruvan typically is between $45 million to $55 million, and it may vary from that $5 million to $10 million, but that's it. So, we do have a fairly stable sustaining CapEx after this year, and it's just whether we bring new areas into Zinkgruvan's mine plan, such as Dalby, and whether we decide to do underground developments at Candelaria. So, the sustaining CapEx should be fairly stable. So, that was a long-winded answer, but I hope it answered the question.
Unidentified Analyst: It's very clear. Thank you. And maybe just a last question on my side, just in terms of the 2019 CapEx. You spent a bit less than you were guiding for, mainly coming from the European operations. Can you provide color around that? And is there a similar sort of buffer in 2020? 
Marie Inkster: Yes, there's not a buffer per se in 2020. It was mainly -- Jinhee, I think it was the least. Is that Neves-Corvo that we didn't spend on?
Jinhee Magie: Yes, and on the equipment, and they'll under spend on some project of relevance improvement.
Marie Inkster: Yes, so nothing too exciting there. Just some leased equipment that deferred into this year.
Unidentified Analyst: That's great. Thanks very much.
Operator: Our next question comes from Oscar Cabrera from CIBC. Please go ahead.
Oscar Cabrera: Thank you, operator. Good morning, everyone. So, if I may just start with a larger picture question. You focus on M&A that you mentioned in your opening remarks in 2019. How are you looking at the market now? And are you still -- your balance sheet is very strong. So, are you still looking to add another Chapada-like asset in 2020? And what kind of opportunities are you looking for in the current environment? 
Marie Inkster: Yes, good morning, Oscar. And I think it would be great if we could add another Chapada-like asset if we could find one. That's the challenge, and we'll continue to be active. Our team has continued, even after execution on Candelaria. The corporate development team here is very active in getting out there and trying to turn over those stones and look for new opportunities. So, we're still looking, but again, we'll be patient and make sure that we -- that if we do transact that it would be something that makes sense for Lundin, and our strategy, and our shareholders.
Oscar Cabrera: Great. And then after the social increase in Chile, at the end of last year, have you seen any more locate or things that make you concern with operations in Candelaria?
Marie Inkster: Well, it's been very quiet over the last couple of months, Oscar. I think the Christmas season and holiday season has been a bit of a quiet time for this. Now, we do expect that there could be an increase in demonstrations and activism that will take place from March onwards, leading up to the elections in April. So, we are quite cautious at the moment that we may see a resurgence of some of the activity that we saw in October, November. So, we're monitoring that. 
Oscar Cabrera: Yes, that's great. And then lastly for me, on La Espanola, could you remind me when are you looking to move this deposit into your Candelaria mine plan? And what are the requirements vis-à-vis permits and CapEx?
Marie Inkster: Yes, it's in the plan. So, it's in our in the light La Espanola technical report. The plan is -- right now, we're preparing -- actually, we should be submitting, if not this week, then imminently, our EIA 2040. And so, that incorporates the bringing La Espanola into the mine plan. And so, the plan is for the EIA 24 months to 36 months, say, and then we could start the pre-strip, and it comes in -- I think we start pre-strip in 2024, and it comes in about 12 months after that, Peter?
Peter Richardson: It's shallow, so yes.
Marie Inkster: Yes. And then the stripping would be incorporated in our technical mine plan. I don't have the exact details of the stripping for our La Espanola at my fingertips, but it should be there. Mark can follow up with you after, if you need that.
Oscar Cabrera: Yes, no, that's great. It should be in the model already. Just short-term memory. Thanks very much.
Operator: Our next question comes from Gordon Lawson from Paradigm Capital. Please go ahead. 
Gordon Lawson: Thanks for taking my question. Just one, enough for me. Could you talk about your tax assets at Eagle and Neves-Corvo, and what rates we should expect over the next year or two?
Marie Inkster: Sure. I will pass it over to Jinhee who has is done a lot of work on the tax over the last two months.
Jinhee Magie: Hi, good morning. So, our tax rates at Eagle in the U.S. is 21%. And in Portugal, it's 29.5%. So generally, we guide people to use the statutory rates. I don't think there's anything that's particularly unusual. We do get some tax credits from time to time. So in Q4 in Portugal, we did recognize about $10 million in tax credits that we received, but those aren't things that we can necessarily plan out your model as. Those we will record as we get those tax credits. So, therefore, you would have seen the Q4 taxes were lower. That incorporated $10 million tax credit from Portugal. We also have some other foreign tax credits that we received, and then also the Chilean tax rate, the withholding taxes, went down from 15% to 10%. And therefore, you would have seen some recovery there. As far as the taxes on Eagle assets, there's nothing unusual there. We do have significant losses that we're going to be using. So, cash taxes in the near term, we don't expect to have to pay out significantly. In the last couple of years though, we do expect some cash tax payout. I don't know if that answers your question.
Gordon Lawson: No, that's very helpful. Thank you very much.
Operator: Our next question comes from Stefan Ioannou from Cormark Securities. Please go ahead.
Stefan Ioannou: Thanks very much. Yes, great to see the production trajectory growth going forward here. Just wondering on the exploration, you'd mentioned on the regional front, you sort of -- you cut out $10 million of previous planned efforts in South America. Just kind of curious, was that sort of project specific or more sort of country specific? Or what kind of drove that decision? And I don't know if you could just provide a bit more color on that.
Marie Inkster: Yes, it was, we have an active program down in Peru, and based on our drilling of this year, we didn't feel it warranted additional budget for next year. So, our original budget would have been reduced by the amount of this program in Peru.
Stefan Ioannou: Okay. And just looking sort of in Michigan with -- obviously, Eagle East sort of winds down in a few years. It doesn't look like you have any sort of significant exploration earmarked for Michigan. Lundin as a company, do you guys feel sort of compelled to look for additional nickel versus other base metals? Or are you still base metals agnostic or even copper focused going forward?
Marie Inkster: Well, for our exploration, we're doing mostly near mine, and in countries where we have active exploration programs, and at the moment, copper focused.
Stefan Ioannou: Yes, okay. Thanks very much, guys.
Operator: [Operator Instructions] Our next question comes from Dalton Baretto from Canaccord. Please go ahead.
Dalton Baretto: Thanks. Good morning, Marie and team. I just wanted to ask very quickly about the feasibility study you've commenced on the Candelaria underground. So, when we were onsite a couple of years ago, we talked a little bit about potential sizing, and infrastructure constraints, and so on. But what's the current thinking in terms of how big the expansion could be, what the infrastructure needs are, and so on? And when can we actually see the feasibility study?
Marie Inkster: Yes, we're working on the study now, Peter, do you want to talk about the progress and…
Peter Richardson: It commenced a couple weeks ago, so we're basing it off on the prefeasibility study. So, it's looking into 26,000 tons a day in increase, or up to 26,000 tons. That's the progress, and we'll be finalizing the feasibility study during the year.
Dalton Baretto: Okay. And what about kind of incremental infrastructure needs, in terms of conveyors, trucks, water, that sort of stuff to get to that level? 
Peter Richardson: Can you repeat the question?
Dalton Baretto: So, I was just wondering in terms of incremental infrastructure needs. I mean, can you do that with trucks? Do you need a conveyor?
Peter Richardson: Well, feasibility studies is looking at putting in a conveyer.
Marie Inkster: Yes, and that will also be useful for our dust reduction and other initiatives environmentally. Carbon reduction, all those things.
Operator: I have no further questions in queue at this time. I'll turn the call back to Marie Inkster for the closing remarks. 
Marie Inkster: Great. So, thank you, everyone, and we look forward to updating everyone on our progress with our first quarter results call in April.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.